Operator: Ladies and gentlemen, welcome to the Alstom Conference Call. Today’s conference is being recorded. I would now hand over to Henri Poupart-Lafarge. Please go ahead, sir.
Henri Poupart-Lafarge: Thank you. Good morning, Henri speaking. Welcome to this Half Year Results conference call. Today I’m with Marie-Jose, and Selma. We’ll be happy to answer to your questions. Before going there, a few highlights on our half year results. You’ve probably all had the press release. So I will go relatively quick; in the overview and then I will hand over to Marie-Jose, who will detail some of the financial indicators. As a general comment, we see our first half results are being extremely good. We have entered into this new financial year very positively, I would say positively on all fronts. First, positively on the commercial front and then, you knew it because of the news flow that you’ve seen over the recent quarters. The order intake is at a record level of €6.2 billion, leading to a record level of backlog of €33.6 billion of course as book to bill is much higher than one at €1.7 billion. Sales are up 8% at €3.6 billion which is a record high, of course as to growth of last year, so continuous growth year-after-year of our sale in line with our strategy as well as in line of course with market fundamentals. The adjusted EBIT is up 20% at €200 million leading to a margin of 5.6% which is also in-line with the I would say perspective of moving up to our guidance of objective of 7% in 2020. What was remarkably good during the first half was the cash flow, free cash flow of €360 million. This is as you would see due primarily to the large level of the order intake which in turn has led to a large level of down payments. The balance sheet is I would say is natural consequences of these results with net cash position at €54 million symbolic net cash position and equity at 3.4%. In this of course, in this good context, needless to say that we are confirming our 2020 objectives. This slide just summarizes the main numbers, nothing new if you compare with last year again, record backlog, order intake which is very high for the first half, sales growing nicely above our guidance of 5% per year. Good adjusted EBIT. And net income and I think I will let Marie-Jose to explain to you what’s in-between the adjusted EBIT and the net income. What I just want to illustrate now, is the fact that these results are I would say the results of our strategy are related to our strategy. And I will explain to you why the different elements of our strategy have led to this kind of performance. So, first, as a reminder, and because this is extremely important and this is I would say the basics on which we found our strategy. It’s the fact that our fundamental guidance are, positively oriented. You can see on the chart the passenger traffic, whether it’s urban or main line, are growing nicely year-after-year. And of course there could be some slight variation on year to another one, but still if you take an average goal 2007-2015, you have really positive, very nice fundamental growth of the passenger traffic. And as you know, this is basically related to the urbanization of the world and the fact that urban transportation has taken a lot of time and delays as compared to the growth of the cities. And now this urban congestion is on the top of the agenda of all decision makers in the world. And this is not a surprise that even in these times of difficulties from an economic standpoint worldwide, even on this time of political instability, still the infrastructure investment in cities is continuing to grow year-after-year. The freight, in the freight traffic of course is much more related to the macroeconomic environment, particularly regarding commodities, so it’s not a surprise that the traffic has gone down after the commodity prices which has started last year and also in terms of coal and in terms of oil in the U.S. So, these nice drivers naturally led to a positive market trend. As you can see these numbers, I will not detail them you know them these have been announced by the UNIFE at unit cost beginning of - mid-September. But then it confirms the growth is not only in emerging market but also in the Americas and also in Europe, because in a way, in emerging markets, all the cities are facing congestion issues. And need to invest into public systems. And in mature markets, such as in Europe, we are creating artificially some congestion issues by taking the cars out of the cities, that is a very, very fundamental trend in all the large cities in Europe towards policies against the cars for I would say basic environmental reasons but also because this is quality of living, this is kind of general policy to a soft means of transportation in the cities. So more and more I would say downtown, are taking cars out of the streets. By nature and by different types of products, urban trains or regional trains or going nicely, services are growing nicely, so here also I would say there is a general growth percentage could differ from one year to another one. But fundamentally we have general growth in all geographies and general growth on all activities of Alstom. One trend which has also been confirmed by this City of UNIFE, which is increasing portion of market which is addressed to turnkey systems which is as you know one of the main feature of our strategy and one of the main feature of Alstom competence and expertise, they system expected on our capability to deliver full turnkey systems. And as you can see, there is a growing portion of course driven and triggered by Middle East and Latin America with a growing portion of activities which is done through turnkey systems. So, these are fundamentally the market trends which are not I would say changed completely from one year to another one but which has been confirmed for this last period. You may recall our strategy, which is based upon the five basic pillars, the one which is to build what we call a customer focused organization, which is basically towards regional platforms capable of addressing the regional markets, both from a commercial standpoint but as well as from an execution standpoint and supply-chain standpoint. And the second pillar is about the solutions and precisely ability to combine hauling stock service, signaling, infrastructure to propose to our customers the solutions that they need. Third pillar of innovation will continue to invest, we see ourselves as one of the leader of the market and we believe that we need to be not only the leader on the hauling standpoint that is to a leader from a technological standpoint. Of course the fourth pillar, about operational and environmental excellence in order to deliver the profit and the cash and also in order to be in line with sustainable or challenges around the world. Fifth pillar, on people and the capture of the company, so, again, what I would just want to illustrate during the first six months is how this pillar have led to the result that you’re seeing. So, first of course, the first pillar which is to be close to our customers, to other geographical organization, geographical supply chain is one of the first reasons we are in the commercial successes. So the order intake has been strong in all regions. Of course you have some fluctuation because of the large tickets it’s really this year the ticket from unpacked in the U.S. has pushed a lot America order intake. Last year it was in Asia, so we should have a kind of long-term view on this contract and long-term view of the performance of our regions, but basically all our regions and particularly the emerging regions are growing fast. Similarly, the orders - I would say product or activity is also showing good trend particularly in service, see the doubling of their service activity. Signaling to anticipate maybe one of the, question, has gone down, it’s clear that last year where the number of the last ticket and which has not been repeated this year. System is going up thanks to Dubai, I will come back to that and France as also and tell you large amount of contract. You have on the slide a few examples of our contracts being awarded this year in Europe, in Middle East and in the Americas, not only the famous Amtrak contract but also in Canada and in Peru, quite nice geographic contracts around the world. Just one example and this is just to illustrate again the customer intimacy. One example of contracts which has only been I would say capable and as only being made possible, because of this customer proximity. We had signed in October 2015, a contract about new trends for NTV customer, initially a private customer initially and whether in this last half year extended contacts was in terms of number of trends and also in terms of amendments. Clearly, the NTV, if I must say a small operator which today is entirely focused on Italy and it’s only sole partnership between NTV and Alstom which makes this kind of continuous improvement and continuous enforcement of NTV feet and continues commercial success of NTV possible. So that’s how day after day doing the maintenance and pulling the gravity of the trends, improving the eligibility of the trends of NTV makes their investment possible for the future. And they have renewed their confidence in Alstom, which is clearly I would say day-to-day partnership. If we move to the second pillar, which is the solution. Of course the main contract being awarded during this first half is Dubai Expo 2020. And here I would say that the capability of Alstom to deliver system on-time, because again for Expo 2020 there is no way we can delay it, I mean, the 2020 Expo will be held in 2020. So we need to be definitely on time. And I want to illustrate that as well by the Rio Olympic Games we have delivered our tramp systems for the Rio Olympic Games on time. And I would say this is also a proof of the ability of Alstom to deliver full projects even in complex environment with very tight deadline and the realistic deadline. So, this is I think one of the main argument why Dubai as chosen our consortium for this extension of the made-for-Dubai. If you look at our sales, no particular change globally on the profile of our mix effect in this. Trains still represent 46% of activities. Service we see that later on has decreased a little bit due to - mostly due to the exchange rates and the British pound. Signaling has increased basically due to the acquisition of de-signaling which was not there last year at the same period. And system is growing nicely. So, if you look at the organic sales per activity and per region, so again you have nice goals in standalone trains, nice deliveries of trains in Europe. We’re starting also to deliver our trains in South Africa, so it has been a good execution of our contract which, have led to this nice growth of the activity of trains. Very strong growth in systems, on the back of produce orders and particularly Riyadh, I mean, all that takes a lot of time. Riyadh orders have been booked a few years ago, but it is now ramping up in terms of sales delivery. And of course I was mentioning the Rio contract for the Carnival of Rio, as well as Carnival of Qatar. In signaling as I said, the goals of signaling, is mostly related to the acquisition of de-signaling. In service, again, relatively stability of our service business and we have been impacted by the drop of the British Pound, as you know the service activity in the U.K. and important activity for us. Overall organic sales, was 7% growth of 7% in-line, if not better than anticipation. R&D just a snapshot to just to tell that we’re continuing to our effort on handy, this is to believe that R&D is at the heart of strategy. We have a number of R&D programs both in signaling which is also very important from R&D standpoint, of course which requires a lot of investments but as well as in holding stock and in service, we are increasing as well service investments particularly in predictive maintenance. Overall, we maintain, we want to go to 2.5% more or less of R&D investment per year, so we are more or less in-line with our expectation. Just one illustration of this R&D programs, this is on-track project. We have been awarded this contract of these 28 trains which we call Avelia Liberty. It’s precisely because of our technological leadership. The maintenance cost, the energy management, concert of passengers as well as ticketing technology, this is actually trends which will be ticketing technology and as you probably know, Alstom is one of the few players controlling investing this ticketing technology. So, some contracts are mainly related to the localization and so far, of course this contract will also require localization but it has also very high technological content, which explains why Amtrak has decided to award this contract to Alstom. All that will have no value if we don’t translate it into improvement into EBIT and cash and that’s what we are sure. So we have increased our EBIT margin, I think it’s on the back of the volume of course, which is helping also on the back of the mix improvement, even though service has been relatively stable. And you know that service has higher, I would say contribution to the profit nevertheless I’ve always said that signaling as well as system. So globally the mix is moving in the right direction. And I would say within our backlog and I of course said that a number of times, I do believe that the new orders are better margins than the old one, it is kind of natural improvement of the mix, you have the mix of the activity but you also have the mix of the projects themselves which are very positively, I mean, as I said, we are in the very long-term business, so that’s a point, we’re very positively improving. Of course, this improvement of our backlog, and this improvement of our project is fueled by all our internal programs of operational excellence. Just to name a few, I mean, nothing new as compared to what I said last year, I mean, these are all our operational excellence programs, competitive offering, so work on the cost elements of our different trends and systems and solutions. We’re also seeing global footprint to name a few, but we’re also working the excellence in delivery. So in project execution, these are two basic components of our performance, the implicit cost of our products and the way we are delivering them and the way we are serving our customers. We have put more emphasis on the digitalization of our systems, particularly in engineering but not only and we’re existing, I think I said it also in the past that we’re investing a lot on our higher system, IT systems. And that’s why we’re pleased, we have put in place this cash focused program. So, a few illustration on sourcing, we have launched a number of alliance with suppliers, we’re changing the way we work with our suppliers in order to be more in a partnership mode with our suppliers develop with our suppliers some common platforms. We are improving and increasing the global sourcing and to illustrate the global footprint, we have now more than 2,000 people in India which a few years ago, five years ago we had few tens of people. So this is a very steep ramp up both in engineering and in manufacturing of our activities in India. I just wanted also to highlight one point which cannot be seen like that that we had launched a few years ago, a complete renewal of all our platforms whether it’s a metro platform, Tramway platforms, regional platforms and various speed platforms. We have now, we’ve been awarded I would say contracts for all these new platforms, so the metropolis and, the new metro has been, will be delivered compared to Riyadh. Dubai is also the based upon the new platform of our metros. Tramway, the Tramway of Lusail is based upon our new platform, the Tramway of Citadis is based upon our new platform. Regional trains I will come back on it, Italy and Netherland, regional trains are based on these new platforms. And the last is the Avelia, which is various speed trains. And the Amtrak project is based upon on this new platform. So we have a complete renewal of all our platform which is something which we don’t do very often, I mean, the various speed, the last time we launched such a platform was really more than a decade ago, so this is something that we have done positively over the last five years. And now we are at I would say the end of the process and we can sell and offer all these new platforms. So, again, to illustrate this point, I strongly believe that our success both in Italy and Netherlands has been made possible thanks to this common platform. So even though it looks like two different trains, which is different speed and requirement, these are based upon the same development, the same suppliers’ partnership, the same type of manufacturing processors and delivery centers, so that’s a good illustration of the platform positive. Cash focus, it will wrong to say that our cash flow swift program has led to the cash performance of this half year. Clearly the main impact, the main reason behind a good cash performance is the high level of down-payments received from order intake. But having said that, there are number of two other companies to improve our cash conditions whether it’s for softening and in terms of condition of our suppliers, all the cash improvement on this side from a supply-chain standpoint, inventory standpoint, overview and all the kind of actions which are day-to-day actions in order to put cash at the heart of the priorities of all our managers. Now, I will hand over to Marie-Jose, who will explain to you more in detail the financial highlights. Thank you.
Marie-Jose Donsion: So, I’ll take you through some details regarding the financials of this first half year. But first, moving straight to the items below, adjusted EBIT, till the net income. I’ll comment some of the indicators. But first, we have no restructuring charges during the first half, as you can read. Other charges, including €24 million of amortization of PPA of purchase accounting assets, mainly relating to de-signaling acquisition, we would expect actually a very linear impact of these amortization over the coming years, I would say in average over the coming five to six years. The financial results to that €71 million negative decreasing versus last year as a consequence of the gross financial debt reduction that took place obviously in the second half last year. However, as you know, this level is not yet representative of the normative financial structure so to speak. It seems we still have close to €2 billion gross debt level that we progressively in fact disappear as we pair out the bonds till 2020. At September 16, the tax rate, effective tax rate was at 33% so, very close to the normative indication that we had given at 30%. And we have two particularly positive effects in the production of the net income of the semester. The first line is the share in net income of equity invested which contributes for €47 million. And this is mainly relating to the re-measurement of the put option on the energy alliances that we have with General Electric, which not only protects the group against adverse results coming from those alliances but also remunerate us at 2% to 3% depending on the JV. The last line is the positive contribution is the discontinued operations net income where we have €24 million positive contribution. And this relates mainly to the capital gain, on those target assets that we still had in our portfolio since at the end of March last financial year. We still had a number of activities in Russia and Brazil, that’s pending to be transferred to GE and this has taken place in the first half this year. There is no additional gain to be expected down the road. So, these, all results into this exceptional net income level of €128 million for the first semester. I propose to take you through the cash flow generation indicator, so as Henri mentioned, I mean, the group’s free cash flow was exceptionally high this semester at €333 million, benefiting from a high contribution from the operating activities, but not only in terms of operating profit but also in terms of working capital evolution and also benefitting from favorable phasing of both CapEx and financial cash out. So during the first half, as Henri mentioned Alstom collected several large down-payments and was positively impacted by the cash generation from the project portfolio. As indicated, during the Analyst Day last March, there is some volatility of the working capital on short period in our business that can be both I mean, positive or negative. And clearly we have had positive volatility effect on this first half year. If I look a little bit more in detail at the CapEx developments, Alstom invested €43 million in capital expenditures on the first half year in order to strengthen its global footprint in the emerging markets, while we modernize the existing facilities in Europe. Clearly, this is a low level of capital expenditure, which reflects both, I would say the strong control on the recurring CapEx that we have in our legacy side as well as the slow ramp-up of the transformation CapEx which is illustrated in this slide with start of the construction of the site in South Africa, which contributed over the period to €10 million of this CapEx. So, as indicated during the Analyst Day, we have a need to reinforce the network as well as the local competences to deliver a number of projects in the emerging countries. And we flagged to you an exceptional additional €300 million transformation CapEx over the next three years that is required for the group. I would say so far, we have spent roughly 10% of these, transformation CapEx. If we look at the net liquidity positions of the Group, we have in hand €2.3 billion cash and cash equivalents at end of September which together with the €400 million revolving credit facility which is fully enrolled, gives us an improved liquidity position at €2.7 billion. Obviously the put options that we have with the energy JVs brings additional flexibility down the road. I also wanted to flag to you that we still have this close to €2 billion outstanding gross debt, where you see the maturities are flagged in the chart and in particular, the next maturity that we intend to repay in February ‘17 is close to €0.5 billion in February ‘17. This results into a net cash position at end of September of €54 million, coming from a position at end of March ‘16 negative €200 million. So, obviously this evolution results mainly from the positive cash generation over the period. And we add also €43 million negative cash coming from acquisitions and disposals, which included the completion of some acquisitions namely Citadis South Africa and Cabliance in Morocco as well as the DE related separation impact and namely some IT cash-outs. Equity increased to €3.4 billion at end of September and is obviously mostly impacted by the net income from the first half at €128 million. And also impacted by the variation of the actual hypothesis on pensions, where we have a net underfunding increase of €85 million net of tax. And this is mainly related to the U.K. pension schemes where we see an increase of the underfunding of €65 million. Currency translation impacts were minimal, resulting into the, as I said into this nice equity evolution over the period.
Henri Poupart-Lafarge: Thank you, Marie-Jose. Just to conclude on the objectives, which you know we’re confirming of 2020 objectives. Sales goals of course per year, adjusted EBIT where we’re moving nicely towards our goal of 7% and the cash conversion, we’ve again, as reminded by Marie-Jose, illustrated reasonable activity, illustrated by these actual results. This now I would say completes my presentation. And we can hand over to the questions. I think the operator will open up the questions.
Operator: [Operator Instructions]. We will now take our first question from Akash Gupta from JPMorgan. Please go ahead.
Akash Gupta: Yes, good morning Henri, morning Marie-Jose. I have couple of questions please. My first question is on U.S. exposure and how much of that as a percentage of Group sales now, and what it consists of? Is it mainly signaling and suburban that I can figure out from your numbers, or is this more to do with other transport areas? And then, potentially, if you can talk about how your U.S. business could see impact from presidential election results that we have seen this morning. I know it may be a little bit early but, still, if you have any initial thoughts. And then, my second question is on cash flow, where if you can split out legacy item in actual cash flow. Because it seems that interest expense was quite - cash interest was quite low and the restructuring was also quite low, so just wondering if you can split out impact of legacy items in H1. And then, what should we expect for the second half?
Henri Poupart-Lafarge: Thank you for your questions Akash. I will hand over to Marie-Jose globally of course it’s not only too early to say what would be the consequences of the U.S. election. And by the way I thank all of you to be on the phone this morning, because you maybe also, I would say busy doing also other types of analysis. But clearly, I don’t see any immediate impact. If you look at the programs of the different candidates of Trump, he was mentioning huge investments in infrastructure. So I wouldn’t say that, I would not take that into account today. So it’s too early to say. As a general rule, as you know we are extremely decentralized and local. So, I would say the same general comment as we did for Brexit applies to the U.S. as well, I mean, we are very much local in the U.S. So, the frequency or the situation of the currencies should not have any major impact. But maybe Marie-Jose can say more on that.
Marie-Jose Donsion: So, after checking this morning, I have to say that we can say U.S. volumes are pretty modest in our portfolio so far. So we are in terms of turnover U.S. market represents roughly 6.5% of our total turnover for the first semester. Obviously we expect a progressive growth of this contribution of the U.S. market since right now obviously Amtrak project doesn’t impact this volume of revenue recognition but this will happen, let’s say progressively over the coming year. So, so far, let’s say the volume exposure is pretty modest. And as Henri mentioned, we are pretty localized in the U.S., in the same way we were actually in the U.K. since the activities that we make there are mainly signaling with de-signaling business. And so, this Amtrak also contains a high level of localization if you remember well, we have 70% content we made out of the U.S. So, at this point, I see no specific impact coming from the U.S. market. Regarding the cash flow, maybe I can go through this question as well. So, you’re right. As I mentioned, the phasing of the legacy cash-out was on both the financial expenses and the CapEx, is pretty downloaded in the year, back-loaded let’s say in the year. Actually all maturities, both happen to occur in the second semester so actually the payment of the interest, the annual interest on those bone lines takes place only in the second semester as a coincidence. So the phasing is clearly, let’s say the explanation for this low cash-out level you see on H1. In terms of CapEx, as I mentioned, it’s a low progression of the CapEx transformation plan, nothing particular, let’s say to be flagged there.
Henri Poupart-Lafarge: Thank you, Marie-Jose. Next question please.
Operator: And the next question comes from Gael De-Bray from Deutsche Bank. Please go ahead.
Gael De-Bray: Thanks very much. I have three questions, please. The first one is, I mean, do you still expect the free cash flow generation to be negative this year? Or, if I say it differently, after the outstanding performance in H1 do you expect it to fully reverse out in the second half? The second question is on the legacy IT cash outflows. So, could you give us an indication of the magnitude of these IT-related cash outflows in the first half? Can you confirm it was booked below the free cash flow of €333 million in H1 and that the €150 million outflow you had previously guided for in the next 18 months remains a valid number? And the third question is on the tendering activity. I mean, how do you judge the pipeline right now between rising political uncertainties on the one hand, but also the opportunities for some more infrastructure-related tremendous packages on the other hand? For example, in the U.K. or in the U.S., I mean, what’s in your view, what could be the net impact on transport demand? Thank you.
Henri Poupart-Lafarge: Thank you, Gael. Just as a general comment, we have given kind of model for the next year’s free cash flow. I also said that it was extremely volatile depending on order intake notably but depending also from advance payments which can occur not only at the beginning of the contract but also during the execution of the contract. So, we had a good first half, we’re not going to give any guidance on the full-year, we’re not changing our views on the global model. The global model was a model of about three years. The good performance of the first half does not change our views on the global model. Now there will be volatility as well at the end of this first year, so we’d see what exactly what would be the number at the end of the year. In terms of tendering activity, I think the market remains quite sound. And as I said, it’s quite remarkable to see that even in countries where you have some political instability or financial challenges, the public transportation and urban transportation remains very high on the agenda of all decision makers. So, don’t expect any huge I would say impact on the market itself. Now having said that our own successes on the market can situate on one quarter to another one, we have booked a large number of orders this first half. As well, I would say it’s given more on this cash flow. I would say there is even better volatility of our order intake. Q1 was very low, Q2 has been very high. And that illustrates I would say on a quarterly basis, the situation of our orders what I want to reiterate is confidence that on the mid-term we are booking and we are increasing our backlog regularly to fuel our future moves. But I’m not going to give indication, we’re still answering to a number of tenders on the world, so we have still commercial activity which is quite sustained. So there is no change on that matter. But again, both the successes of Alstom on one hand and the timing on these successes are by definition highly uncertain. On the IT, I will hand over to Marie-Jose for the IT and free cash flow.
Marie-Jose Donsion: For IT, cash flow, as I mentioned to you, this transformation cash flow is linked to the re-build-up of the infrastructure, IT infrastructure of Alstom, exiting from GE. So, I confirm the total amount of €150 million, we’re roughly at 30% progress, so one third in terms of progress of the spending of this item. And you are correct, it has mostly impacted let’s say the cash on acquisitions and disposals. Therefore not the cash flow metric.
Henri Poupart-Lafarge: Thank you, Marie-Jose. Next question, thank you.
Operator: Our next question comes from James Moore from Redburn. Please go ahead.
James Moore: Yes, thank you, Henri, Marie-Jose. I’ve got three topics, if I could. Just on the free cash flow, could you help us a little bit with the down payments; I’d love to get a number for the first half. And, if not, maybe you could help us with the percentage of orders. And how does that percentage number change, or has it changed, over the last decade? Has it been quite stable? Because I’ve got the sense with, example, PRASA in India where we didn’t really see a big working capital cash inflow, that maybe contract terms do differ contract to contract; and how we should think about this also going forward. The second topic is tenders. We saw some speculation about RER, which sounds positive. Could you remind us when Grand Paris might be tendered, or ordered? And where are we with other things, like Philippines, Egypt, Mecca, North Korea, France and Netherlands? And then finally, on your strategy, I wondered if you could please help us understand how you plan to move from one-third to 60% of your train making outside of Europe and where that footprint will be?
Henri Poupart-Lafarge: Thank you, James. On down-payments, you can read it with our balance sheet the fact that I think our down payment level has increased by more than €200 million over the half year. Typically and as you have said, the down-payment varies quite significantly from one contact to another one. But we are - I would say, now had between 5% to 10% of down-payments or repayments in the contract. Of course I’m talking more about the systems and I’m talking more about the trend harder than service contract which are more regular cash flow. But you can see that in total volume the down payment on our balance sheets have increased by more than €200 million during the first half. On the tendering activities, so you are mentioning RER and, I mean, it has said in the price because of no other official information, we have just submitted our last offer. And in the press, it has been said that we are the only one to have invited to submit this offer so this sounds good but we need to finalize the tender on the offer definitely. There are number of tenders which, are today being submitted, some of them are well-known and you have mentioned it, Mecca for example has been discussed for a number of months. But I have to say that after Riyadh and Dubai, I’m not telling to decide that Mecca has been postponed a little bit I think in terms of workload and in terms of momentum. It’s not bad for us. I even said that we’re working day and night to secure it. We have a number, you mentioned Egypt with a number of contracts in Egypt being discussed, whether, so there are - it’s difficult to point out one or the other ones. There are number of I would say tenders, which are being placed in the U.K. particularly, U.K. market is quite buoyant. Within some countries, it’s also - the last contracts are always attracting the attention. In Germany, the tradition is to do more on small batches. And there are a number, and a large number of small batches with our German performance have been quite good but you don’t, you see it a little bit, because it’s sometimes announced. But it’s more small batches of €100 million, €150 million other than huge contracts. As far as Grand Paris is concerned, you’re mentioning it. It’s a little bit further downstream. We have submitted already the offer for the holding stock and we are today answering to questions and so also, it’s typical evaluation of our offer. And we are yet to submit the offer in terms of signaling. But I don’t expect any particular award before at least the next 12 months. So it’s a long process. On the initial footprint, which was your last point, as I said, I think this phase in which we are today, and have some strategy is very, very particular. And where we are expanding our footprint, and it will have another, I think in two to three years, we’ll have globally in the world what is required to serve our markets. And when you look at India for example, with the factory of mid-forward CCT, with the factory of locomotive Madhepura with a factory of components in Coimbatore, we’re not going to add new factories maybe there. The load of this factory or the capacity of these factories will fluctuate. But it will be the way the flow of serving the Asia-Pacific region. And this will be I think of course South Africa will be the best serve Sub Saharan Africa as well as in Nigeria, some trams. So, I think it’s a question of what we have done in the recent past, is to put some new set-up, little bit covering the different regions of the world. And then, the next phase if I may will be to optimize this set-up to make it work together and to adapt the different capacities of the different base to the market. But it’s very, very I would say specific space which is I think I mentioned it, which is not only Alstom strategy, but it’s also related to the market. It happens that’s the transportation market has globalized over the last five years and it’s continuing to globalize. Now there are projects in all cities in the world. And this is what we are, accompanying through our strategy. But again, in a few years, this will be done. Thank you. Next question.
Operator: Your next question comes from James Stettler from Barclays. Please go ahead.
James Stettler: Thank you, and good morning all. Looking at your margin, so you achieved 5.6%, even though service wasn’t that strong, relatively speaking, you’re saying the backlog quality looks even better. I mean, how are you thinking about this 7% medium-term margin? And really, where are the big offsets that we need to worry about that will keep you from going beyond that level? That’s question number one. And then just a technical accounting question. Can you just talk a bit more about what’s going on in the associate line? As we understand it, you’re looking to, basically, neutralize the impact from the three GE joint ventures, and how does that work with this special item you have on the put option? Thank you.
Henri Poupart-Lafarge: Thank you, James. We are today in a kind of virtuous circle, where we are taking orders at higher margin than the ones we’re trading, as distribution of the portfolio is globally satisfactory. This translates into a progressive improvement of margins. What we know is that, what we take is in-line with our objectives of 2020 that is I would say no ceiling, no cap. But that’s what we see today. And we’re in the long-term business and I think it gives us some visibility. We’ll see the next phase and how we can optimize further. But at the same time, as you have said, the mix impact can depend, I mean, last year we had a huge mix impact, the improvement was mostly done with a mix impact. This year, service has not been so buoyant but we have this improvement in systems, in signaling as well as I said project-by-project. So, it’s a very gradual improvement that we will see going forward. So the only, I mean, today as I said the two main components of this performance is one, the cost of our solutions, the differentiation, the cost and the technology of our solutions and our way to execute the contracts. So, as long and this is the main challenge is to keep this high level of execution, at the high level of quality of execution while we’re putting in place our globalization strategy. So that we are monitoring very closely the expertise, monitoring the quality of what we do in the new facilities, in the new set-up and that the day-to-day challenge. But I would say that the growth, which is very good growth, but 5%, 6%, 7%, is totally manageable from this standpoint. So this is how it looks. Marie-Jose, on the accounting question.
Marie-Jose Donsion: So, regarding the associate, as I mentioned it’s a positive contribution that we get a little bit further, first from the operational JVs that we’ve got with PMH in Russia and CASCO in China. So those JVs have a positive contribution in terms of profit for the first half year, roughly €15 million. And then basically the main impact, €30 million comes from the revaluation of the put options, which as I said not only net of the loss generated by the JVs but in fact is remunerated 2% to 3% depending on the JV and the contribution of these revaluation has been roughly €30 million for the first half year. And again should be linear as we go forward.
Henri Poupart-Lafarge: Thank you, Marie-Jose. Next question, we’ll try to be a little bit quicker, because we’re running out of time.
Operator: Our next question comes from Martin Wilkie from Citi. Please go ahead. Q - Martin Wilkie Good morning, it’s Martin from Citi. Just a quick question on restructuring, and apologies if you’ve answered this already, there’s a couple of problems with the line. Obviously, no charges in the quarter - in the half, if you could just comment a little bit about both the P&L, as well as the cash impact, you expect from restructuring over the next couple of years. Because, obviously, in the past you’ve talked about some legacy cash costs; I know a lot of that was to do with tax, and to do with the financial income. But I just wanted to check also if we should expect the cash impact of restructuring to pick up, as well as the P&L impact? Thank you.
Henri Poupart-Lafarge: Thank you for the questions, no, I would say there is no concept of legacy for restructuring. We have ongoing adaptation of our sites, particularly in Europe. This translates into a very regular cash outflow. But of course the P&L impact depends on the announcements of plan, so there was no plan, clearly announced during this first half. So there is no P&L impact. Having said that, there is no change of use on the regular cash outflow and there is no change of use on the P&L impact which then made values from one quarter to another one. But on the full-year, we said and we confirm that will be hopefully €30 million impact per year, which corresponds the cash flow and which corresponds to the P&L, but with situation of course depending on the announcement of plan. Next question.
Operator: Our next question comes from Guillermo Peigneux from UBS. Please go ahead. Q - Guillermo Peigneux Hi, good morning Henri, good morning Marie-Jose. I wanted to ask, on the transformation CapEx, the €300 million I think you alluded to in the past, whether these changes with Amtrak were an immediate investment in the localization there? And the same with the situation in Belfort, in which you need to invest €40 million, so is this resulting in higher transformational CapEx, going forward? That is the first question, and I have one follow up.
Henri Poupart-Lafarge: I guess on this one, the easy answer is no. There is limited CapEx for Amtrak but in the matter of €20 million to €30 million so not extremely high. And this is part of the project itself. And there is no CapEx for Belfort. The announcement of investment in Belfort, which are not investments in Belfort itself, in Belfort sites, are more engineering investments related to the various speed trains and related to the locomotive platform. So these are investments which have no CapEx elements. Maybe you had a follow-up question you said?
Operator: Next question comes from Christophe Quarante from Societe Generale. Please go ahead. Q - Christophe Quarante Yes, good morning everybody, this is Christophe from Societe Generale. Two questions, if I may ask. First one, could you give us the current tenders, where it seems that you are interested in, in Turkey, in Spain, and maybe in India, if I’m right? And the second question is about profitability. Could you give us some metrics in terms of profitability, mainly related to the evolution of the gross margin? The savings that you are referring to your 2020 objectives, where are you? On your operational excellence, where it seems that you did better - you do a better, you have better results, sorry, than what are you expecting there? Thanks so much.
Henri Poupart-Lafarge: Thank you, Christophe. I think, on your first point, I mean, we’re not going to detail our commercial strategy. You’re probably referring in Spain to the high-speed trains and this is well-known tender currently being in light in Spain for very high-speed. In India, and maybe you’re referring to that has been a prequalification on a very large regional train contract. And we are prequalified. This is a similar type of contract and the one of Madhepura for the locomotive is for regional trains. And we have been prequalified with CRC. And in Turkey, there have been some talks about various speeds as well but here the tender is out so I cannot comment on this one. But again it’s a new station that we have some projects, little bit everywhere in the world. On the profitability, I mean, we have not done, we have not given precise metrics on this contribution. I think as you know, I believe that our results are meaningful only on the long-term. So, we’ll give you more precision at the full-year on the different contribution of the different element, on the mix and the different operational performance. But if you want to have just maybe a snapshot? Marie-Jose?
Marie-Jose Donsion: So, in fact, you could say by currency translation adjustments we had a 10 basis points negative impact coming from the FOREX, mainly let’s say the pound impacting us negatively on this. Then we have a volume effect which would be positive 20 basis points compared to last year, with thanks to the significant organic growth issue on our turnover. We have a positive mix effect compared to last year, mainly coming from signaling and as you noticed not so much from service. So this is a 10-basis point positive contribution from the mix. And we have a 30-basis point contribution from the operational excellence initiatives. And you’re right. I think those actions are delivering some fruits as we progress in the year.
Henri Poupart-Lafarge: Thank you Marie-Jose. All these numbers are again very half numbers, as, again, from one quarter to another one, this of course can fluctuate depending on the project’s contribution, project-by-project.
Henri Poupart-Lafarge: I think this ending our conference call. I thank all of you for your attention particularly on this very special day. And I’d be happy to meet all of you during the coming weeks. Thanks a lot. Bye-bye.
Operator: That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.